Operator: Welcome to Liberty Global's second quarter 2015 results investor call. This call and the associated Webcast are the property of Liberty Global and any redistribution, retransmission or rebroadcast of this call or Webcast in any form without the express written consent of Liberty Global is strictly prohibited. At this time, all participants are in a listen-only mode. Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at www.libertyglobal.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this investor call is being recorded on this date, August 5th, 2015. Page 2 of the slides detail the company's Safe Harbor statements regarding forward-looking statements. Today's presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed from time to time in Liberty Global's filings with the Securities and Exchange Commission, including its most recently filed Forms 10-K and 10Q. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which the statement is based. I would now like to turn the call over to Mr. Mike Fries.
Mike Fries: Okay. Thank you, operator. And welcome, everybody. We actually have two sets of shareholders on the call today, from both Liberty and LiLAC, of course. We welcome our new shareholders. And I'm joined today by a number of my key execs, as I usually am, who will chime in on the Q&A as needed. This is our regular agenda. I'll provide a slightly lengthier overview today of the consolidated group and then some Europe and LiLAC details and Bernie will provide information on the financials and then we'll get to your questions. As we typically do, I'm speaking from slides, so hopefully you've got those up. And I'm going to start on slide 4 with some consolidated highlights and then, as I said, we'll provide some results for Europe and Latin America and the Caribbean. We had solid growth in the quarter for subscribers. It wasn't our best quarter but a significant rebound from the first quarter. We added 138,000 organic RGUs in Q2 and that brings out year-to-date subgrowth to 207,000 in total and that was pretty good sequential RGU improvement quarter to quarter in the majority of our markets. I'm going to provide a bit more color in a moment, but the most significant improvement from Q1 was a reduction in our video losses by almost $70,000. Together with new campaigns and the ongoing rollout of new products, we're still forecasting 1 million organic RGU additions in 2015. So we're expecting a robust second half of the year. Rebase revenue growth was 3% for the second quarter ended six months, the latter of which was $9.1 billion. And as you know by now, mobile and B2B are standouts there. They represent 18% of our revenue and a significant source of our momentum, with year-to-date growth of 16% and 6% respectively Rebates OCF growth was 4.4% in the second quarter. That's up pretty significantly from the 1.2% in the first quarter. In fact, we saw a jump in three of our top four markets and double-digit growth, in fact, in LiLAC. Just an interesting side note, if you exclude Holland which I'll talk a bit about today, our rebate OCF growth in the quarter was 6.5% and that's a pretty good number for us. On an FX neutral basis, customer ARPU was up 4.3% year over year and that was helped by price increases, among other factors. And as far as OCF goes, we're confirming our guidance today of mid-single-digit OCF growth for the full year. And then lastly, year-to-date free cash flow is $922 million and despite FX headwinds, we're on track to deliver $2.5 billion of free cash flow on an FX neutral basis for the full year, that's our guidance there. Go to the middle of slide 4. Just highlight a few key developments. We did finalize our blueprint for our Liberty 2.0 program which will unlock substantial efficiencies and drive, I think importantly, faster revenue and OCF growth over the next several years. I'm going to dig into that towards the end of my remarks. While we're talking about faster growth, we had a great quarter in LiLAC. You'll hear about that in a second. Our new-build opportunities which are a big part of our future growth, are picking up steam. I'll give you an update on that in just a moment. And then on the product front, I've actually never been more positive about our road map. We're testing EuroDOCSIS 3.1 right now and should begin commercial deployments next year. We launched 4G in Chile and preparing for more 4G in Europe and we continue penetrating our existing customer base with next-gen TV products like Horizon which just launched in the Czech Republic and as of Q2 we had nearly 4 million next-gen TV setups, if you include Tivo in there. I'm going to wrap this slide up with some highlights on our balance sheet which remains really strong with $4.7 billion of liquidity and gross leverage of around 5 times. After an active first quarter, we actually refinanced another $4 billion of debt in the second quarter, bringing our average tenor today to eight years and our fully swapped borrowing cost of 5.4%. That's a meaningful improvement over the last three to four years. And we purchased over $900 million of stock year to date and that leaves us with $3 billion of committed buyback capacity over the next 18 months which we fully intend to use. So financial results are tracking to guidance. In particular, OCF growth was ahead of budget year-to-date and RGU net adds, especially outside of Holland, are picking up steam. And then lastly, the other key value drivers, product innovation, new build, liquidity, buyback stock, all in great shape as we head into the second half of the year. Turning to slide 5, I'm going to race through some highlights for what we now call the Liberty Global Group. That is essentially our European operations which generated revenue and OCF growth in the second quarter of 3% and 4% respectively. If you dig into the numbers, you'll see that strong growth in markets like Belgium and Germany, each of which generated over 6% revenue growth for the UK which generated 8.5% OCF growth on the back of record low churn and strong demand for broadband, were offset by another disappointing quarter in Holland which I'll talk about, as I just said, in a minute. You can also see that in our subscriber numbers on the right-hand side of the slide, Western Europe, excluding Ziggo, rebounded in the second quarter adding 130,000 RGUs. And usually Q2 is our seasonally weaker period, but in Germany we regained momentum with 92,000 net adds and the UK actually had their best second quarter RGU performance in five years. Despite good success on our synergy plans in Holland, our top line and sales performance in the Netherlands remains challenged and Ziggo lost 87,000 RGUs in the second quarter and that was impacted by continued operational challenges and strong competition. Again, more details on that in just a moment. Before moving to LiLAC, I'll do a quick deep dive into the UK and Holland on slide 6. We'll start with Virgin Media which continues to generate great subscriber and financial results, all of which stem from our investment in things that consumers really care about, Higher broadband speeds, compelling content, both in the home and on-the-go which, along with our big bundles, are really a game-changer there. The take-up of 100-megabyte broadband services has more than doubled in the last 12 months to 40% of our broadband base and average data consumption is growing rapidly. It's up 45% year-over-year to an average of 100 gigamons, one of our bigger margins. We also added BT's new Champion League channel to 50% of our TV base in August. All of this is driving increased customer loyalty and satisfaction. We delivered our fourth straight quarter of record low churn in the UK; our best Q2 RGU performance in five years, as I said; and 4% revenue growth and 8.5% OCF growth. Project Lightning, our new build, is just starting to gear up. We released 80,000 homes in the first half while laying the foundation for accelerated new build in markets like Manchester, UK's second largest city, where we're targeting 150,000 new homes and in Leads where we'll reach another 80,000. Early customer response from Project Lightning has been encouraging. We're on target with internal penetration forecasts. And this is just the beginning. Lightning will launch in 10 more towns and cities in the second half and will ramp materially in 2016. Turning to Holland on the right side of the slide. After a bumpy start, I believe we're getting back on track. The good news is that we're on budget with the key integration milestones, including the introduction of new high-value bundles, centered around Horizon TV, MyPrime and Replay TV and we expect to see the cost-driven synergy benefits starting to kick in now. That doesn't explain or excuse another difficult quarter on the subscriber front. The punch line is that we walked ourselves into a challenging set of circumstances, beginning with our network harmonization process that resulted in service quality issues and higher call volumes, compounded by price increases across our existing customer and acquisition portfolio around the same time and, of course, significant competition from KPM. So what are we doing? First, there's a new set of quality programs that we've initiated to improve the operational performance in customer experience. For example, we expect customer calls and truckload volumes to fall 20% in the second half. Second, we're promoting our brand and our products more aggressively with a new summer deal in mid-July that has already captured market share. And third, we continue to drive the product road map hard in this market. We did hit some singles and doubles in the second quarter which we're building on. We added 62,000 new Horizon TV subs, for example; that's a record. Campaigns like Horizon Go have been really effective as we migrate former Ziggo customers to our multiscreen service. Over 200,000 of those are now active users. Since July, our customers can enjoy over 100 channels via their Horizon Go app, with 42 of those now in HD. We added another 20,000 mobile subs in the second quarter in Holland and we're ranked actually number one when it came to word of mouth for mobile customers. We'll launch 4G in the second half there. So a lot is happening to close the gap in Holland and drive top line growth and get that back on track and we feel good about beating other positive developments. And I'll switch gears for a second and provide some highlights for the LiLAC Group on page 7. And the primary message here is growth. In VTR in Puerto Rico, our two cooperating assets in LiLAC, delivered really good results in the second quarter and year-to-date periods, including almost 80,000 new RGUs in the first half and rebased revenue and OCF growth of 7% and 13% respectively in the second quarter. Our rebates revenue growth was our best quarterly result in two years, fueled by strong sub growth and some price increases in Puerto Rico. And, of course, Chile grew second quarter rebates OCF by 14%, while Puerto Rico grew 12%. In June, we closed the Choice acquisition in Puerto Rico. That completes the consolidation of that island. We now have reach across the entire marketplace. On the innovation front, we launched 4G LTE service in Chile. This service is now available to all of our existing postpaid subs and we'll be trialing our next-gen UI platform, a version of Horizon, in Chile in the second half. As we look out, we expect LiLAC to achieve mid- to high-single-digit rebase OCF growth over the medium term and that's driven by operational leverage, innovative products, mobile, B2B and, of course, that's before some interesting new-build opportunities in both Chile and Puerto Rico. These two businesses are, in my opinion, the two most advanced cable systems in the region. So we've anchored LiLAC with what we think are the best operating businesses in the region. In fact, we know that. But more importantly, we see the region as holding some really interesting M&A opportunities It's a fragmented part of the world and we think we're geared up to take advantage of that consolidation which is inevitable in several parts of Latin America and the Caribbean. Two more slides here. Slide 8 provides an update on some additional key initiatives across the consolidated group, including on the left, the building blocks of our Connect and Play customer proposition. And that starts with our next-generation TV app, Horizon which we believe has reinvented the video experience now for over 4 million of our customers when you include the UK. Horizon alone added almost 600,000 new subs in the last 12 months and we continue to push the platform. We introduced Horizon TV in the Czech Republic in the second quarter. We launched more expanded replay TV in Holland and Switzerland, so now customers have the ability to scroll back on the VPG by seven days to watch past shows. Our Horizon Go app, TVR app, is now live in all of our European markets, 1.5 million households actively using the service each month. We just made it available to the legacy Ziggo base, resulting in a return of 1,000 new downloads. Our MyPrime and Maxdome SVOD services now reach 1.2 million households at June 30. We added MyPrime to Czech in May, so it's just getting started there and we have two new markets launched or scheduled to be launched later this year. So with usage of up to 30% to 40% of these SVOD services, we think we're proving that SVOD is wide open in many of our markets. Turning to the technology for a minute, we believe our fiber rich HFC plant has a clear network advantage over any DSL or VDSL network. As a matter of fact, we know that; we don't believe that. And in 11 of our 12 European markets today, our top speeds are 200 megahertz or better. We launched 500 meg in Switzerland and the vast majority of our footprint, we'll start to do that sort of thing and we feel great about our ability to extend our speed leadership with EuroDOCSIS 3.1. We've never talked a lot about this, but the technology is cost-effective and scalable. We think we can get our homes up to 1 gigabyte per second at an estimated cost of EUR20 per home. That excludes CPE. We're testing the technology right now in labs and we're preparing for live trials in certain markets in early 2016. We're already ordering CMTSs with 3.1 capability and we're putting those into the field. So for example, the end of 2015, over 40% of our footprint in the UK and Germany will be 3.1 ready on the CMGS and network side. We should have 80% of our footprint ready to go over the next three years. Finally, we continue advancing our mobile deployments. The importance of seamless connectivity for us is we think really high and for customers as well, of course. We now have mobile launched in nine markets. We added over 95,000 SIM cards in the second quarter which brings our mobile base to 4.7 million. Virgin Media added 55,000 postpaid subs on the back of its Freestyle split-handset contract. We've now offered that in Belgium, in Hungary, we'll also be introducing that in Switzerland and we'll be launching 4G speeds in Holland and Switzerland, as well as in Ireland later this year. Our mobile offerings are enhanced by connecting customers to our superior broadband network through Wi-Fi. And our current Wi-Fi network has 6 million access points and we're on track to hit actually over 10 million by year end. Despite our pending purchase of BASE in Belgium, though, we remain convinced that a combination of MVNOs and Wi-Fi is really the right strategy for us in most markets. Fourplay is here to stay in Europe and we're, we think, in great shape in that area. I'll finish my remarks on slide 9 with just a few words on our Liberty 3.0 blueprint. I think you'll recall that on our first quarter earnings call, I provided high-level introduction to Liberty 3.0 which is the next chapter of our growth story after what we feel were really a very successful 10 years, if you go back to 2005 or when Liberty Global was formed, during which we added great scale, we built great value for shareholders. In front, in this position of strength, we've been focused on what we think success looks like for us over the next three to four years and where our priorities should be in order to get us there. As we developed a very specific plan that is focused on customer centricity, operational excellence and then operating model that aligns to these organizational priorities. Now, our success will primarily depend on our relationship with customers, as it always does and that means what we offer them in terms of value, entertainment and connectivity. It will also take form in how we engage and interact with our customers at every touch point and what they can expect from us. To deliver on that promise, we recently announced an internal reorganization that will centralize certain functions at Corporate, such as procurement, networks and technology and decentralize others, such as marketing and sales which will be led by our country operations. These organizational changes which are pretty substantial, are being made following an extensive benchmarking exercise where we compared ourselves to hundreds of other companies on many, many areas of cost and structure. And while we anticipate significant efficiencies over this multiyear program of roughly $1 billion, Liberty 3.0 is primarily a growth-driven exercise. In fact, 60% of our OCF growth ambition is predicated on top line growth. Now, on top of that we'll be reinvesting much of our savings back into initiatives in area of our business that we see fueling growth, such as our product road map, mobile and B2B, as well as additional new-build opportunities like Project Lightning. As we see it, Liberty 3.0 will be a transformative program that will yield accelerated growth over the next three to four years. And we haven't said this publicly yet, but we'll say it today -- we believe Liberty 3.0 will take us from a mid-single-digit-growth company to a high-single-digit-growth company on the operating cash flow line over the next three to four years. We feel great about the work we've done to date. We're excited about the direction we're heading in. We've got a lot of levers activated here to achieve the kind of success we know we're able to achieve. The team is aligned. We're excited internally. We look forward to talking to you about it externally as we move forward here. With that I'll turn it over to Bernie and I look forward to your questions. Thanks.
Bernie Dvorak: Thanks, Mike. I'll start with the financial update on each of our separately-tracked businesses beginning our Liberty Global Group, our European business and moving on to the LiLAC Group which tracks our operations in Chile and Puerto Rico. Slide 11 shows our reported revenue and OCF results for the first half of 2015 for the Liberty Global Group and rebates growth rates which adjusts for FX movements and the impacts of acquisitions and dispositions. For the first six months of 2015, the Liberty Global Group reported $8.5 billion of revenue or rebates revenue growth of 3%. I will give more details on the Q2 performance of our Western European markets on the next slide. On the OCF front, we reported a little over $4 billion of OCF in the first six months of the year, resulting in 2% rebates growth. The 4% rebates growth in Q2 was up versus our Q1 rebates OCF growth of 1%. As discussed in our Earnings Release, for the year-to-date period, Zaggora integration costs and other nonrecurring and nonoperational items had a net negative impact on our OCF growth rate as the Q1 detriment from these nonoperational and nonrecurring items was only partially offset by the Q2 benefit. Our overall OCF margin in Europe expanded 30 basis points to 48% during the first half of the year, as compared to the prior-year period, benefiting in part from improved operational leverage. We expect to deliver higher rebates OCF growth in Europe during the second half of the year and achieve a rebates OCF growth rate in our mid-single-digit range for all of 2015. In terms of capital intensity, we recorded $1.8 billion or 22% of revenue for P & E additions in Europe during the first half of 2015, slightly above the prior-year level but consistent with our expectation for the full year. Free cash flow for this group was nearly $900 million during the first half, below last year's level in the same period. Consistent with prior years, we expect our free cash flow to be weighted to the second half of the year with the strongest quarter of cash flow generation expected in the fourth quarter which is a typical seasonal pattern. On slide 12, we take a deeper dive into the Q2 financial performances of our Western European markets that comprise over 90% of the Liberty Global Group's total revenue. Our UK, Ireland segment delivered a strong quarter with rebates revenue growth of 3% and OCF growth of 8% during Q2, led by Virgin Media in the UK with 4% revenue growth and 9% OCF growth. Our year-over-year revenue growth in the UK was achieved through higher cable subscription revenue driven mainly by subscriber growth and ARPU improvement supported by price rises, higher mobile handset sales of our Freestyle proposition and higher B2B revenue. Continued cost controls and delivery of substantially all of the expected post-acquisition OCF synergies resulted in even higher OCF growth rate. In Germany, the media posted 6% rebates growth, revenue growth and 5% rebates OCF growth in Q2. Growth in subscribers on higher ARPU drove our rebates revenue growth in Germany, while OCF growth largely followed the revenue trend. [indiscernible] rebates revenue growth was 6% in Q2, was driven by continued RGU momentum, ARPU strength and higher mobile revenue. Q2 OCF grew by 12% on a rebates basis supported by the strong top line performance and a nonrecurring $10 million benefit from the settlement of an operational contingency. The overall positive trend in our largest markets was partially offset by our operations in the Netherlands which saw a 2% rebates revenue decline in Q2 mainly related to subscriber losses. Rebates Q2 OCF contract grew 5% which, in addition to the declining top line, was also adversely impacted by $9 million of additional third-party costs associated with the integration of Ziggo. As a result of weak subscriber results in the first half, we expect the second half to remain challenging, especially with respect to rebates revenue growth. The Synergy program remains on track and we expect it will favorably impact our Dutch OCF trend in the second half of 2013. Our Swiss and Austrian segment reported 3% and 2% rebates revenue and OCF growth respectively. This growth was primarily driven by an increase in ARPU, along with subscriber gains. On slide 13 we take a look at the Liberty Global Group's leverage ratios and our share buyback plan. We ended Q2 2015 with total debt of $43.7 billion, attributed to the Liberty Global Group, down approximately $366 million from the year-end 2014, but the impact of the depreciation of our borrowing currencies against the U.S. dollar was only partially offset by $1.1 billion of incremental net borrowings. At June 30, our growth to net leverage ratio stood at 5.1 times and 5 times, respectively, at the higher end of our 4 to 5 times targeted leverage, a policy we will continue to pursue for the European business. We remained active and opportunistic on the Treasury front and refinanced $3.7 billion of debt during Q2, after a very active first quarter. As a result of these financing activities, we expanded the average tenor of the Group's debt to approximately eight years with over 90% of our obligations due in 2020 and beyond. Liberty Global Group's fully-swapped borrowing cost now stands at 5.2%, a 70-basis- point reduction from 5.9% at year-end 2014. In terms of our buyback program, we repurchased nearly $500 million of our equity in Q2, leaving approximately $3 billion to repurchase over the next 18 months. Turning to the LiLAC Group on slide 14, we provide an overview of the first half financial performance of our operations in Chile and Puerto Rico. LiLAC posted revenue of $599 million year-to-date, representing rebates growth of 6%. Both our Chilean and Puerto Rican businesses contributed to its growth rate which I will show on the next slide. LiLAC reported OCF of $236 million for the first half which represents 10% of rebates growth. Our OCF margin at LiLAC improved 150 basis points to 39.4% in the first half as compared to the prior-year period, benefiting from improved operational leverage. We do not expect OCF growth in the second half of the year to be as strong as it was in the first six months, due in part to a difficult comparison in Q4 in Chile. P&E additions for the LiLAC Group were 21% of revenue in the first half, a modest improvement from 22% in the same period last year as a result of the combined effect of revenue growth with slightly lower P & E additions. Free cash flow was $28 million during the first six months of 2015, as Q2 free cash flow of $54 million overcame our free cash flow deficit in Q1. Free cash flow in the first half was below last year's level of $63 million, primarily as a result of interest and derivative payments associated with the $1.4 billion of bonds we have with HER. We made payments of more than $65 million in the first half of 2015 and did not have similar payments in last year's first half because we [indiscernible] the debt. On slide 15, we look at the Q2 results with Chile which represents over two thirds of LiLAC's total revenue and OCF in Puerto Rico. In Chile, VTR delivered rebates revenue growth of 7% in Q2 to $221 million, our best quarterly rebates growth performance in two years, driven by cable and mobile subscriber growth and higher ARPU. Q2 OTF in Chile grew 14% at a rebates basis, driven by strong top line growth and improved operational leverage. In Puerto Rico we posted rebates revenue growth of 8% and rebates OCF growth of 12% during Q2, primarily on the back of continued subscriber growth. Finally we take a look at the leverage attributable for LiLAC Group. Given pro forma effects from the Choice transaction, leverage for LiLAC was 3.9 times gross and 3.5 times on a net debt basis. Our average cost of debt on a fully swapped basis was 8.7% at the end of Q2, down from 9.2% in Q1 2015, as we benefited from lower-cost debt in Puerto Rico in connection with the Choice transaction. At the end of June, we had $233 million of cash attributable to LiLAC, of which $100 million sits outside of the two credit pools. This cash, together with the LiLAC Group's available borrowing capacity of over $230 million, provides us with ample liquidity to invest in the business or pursue M&A opportunities. In summary, we're confirming our 2015 guidance and look forward to what we believe will be a strong second half of the year for both our European operation and for LiLAC. With regard to our capital structure, the launch of our LiLAC tracking stock represents another milestone and we're eager to take advantage of this new structure to tap into further growth opportunities in the region. And lastly, we're excited by the potential of our Liberty 3.0 program to meaningfully enhance our growth profile over the next several years. With that, operator, please open it up for questions.
Operator: [Operator Instructions]. We'll take our first question from Ulrich Rathe with Jefferies.
Ulrich Rathe: My question is on Germany. With the trials that you're currently running and the potential here for further footprint and buildout that you've alluded to in prior calls already, I'm wondering what your comment would be on the one sort of problem that Deutsche Telecom keeps highlighting when talking about FCTH in their footprint which is that it's extremely difficult to get owners', landlords' permission to drill holes into the basement buildings. There seems to be sort of a bit of a cultural gap there. I'm wondering whether you have any experience on that already? That would be quite interesting.
Mike Fries: I'll ask Deidrich to chime in on this too. We use the word new build in a couple different ways. For example, in the UK when we say new build, we really do mean, in many instances, plant extension where we're, in fact, reaching a home or a building that we were not reaching before. In Germany, it's a slightly different meaning. In some instances, it's physical plant extension. In some cases it's actually a drop or upgrading and monetizing the existing home path in a different way. But, of course, Deutsche Telecom's experience is similar to ours. You have to be very careful about housing authorities and how and when you access those properties. We've been doing this a long time, as have they. And we think there is plenty of opportunity, millions of homes that we can activate either through extension or simply drops in activation of homes that we had originally considered homes past, but truly haven't been marketed and haven't been activated, if you will. I don't know, Diederik, if you have anything to add to that. That's the basic line.
Ulrich Rathe: If I may follow up on the financial trends in Germany. The subscriber trends obviously have recovered from the first quarter, but they're not quite at historic levels yet. I'm wondering whether that's the new normal, given that you may be focusing more on price at this point? And related to that, I'm wondering why -- given that price increases typically produce very high operating leverage, why the OCF growth hasn't accelerated more compared to the revenue growth which seems to be driven, of course, now largely by the price increase in the first quarter. Interested where the operating leverage sort of went in terms of investments? Thank you.
Mike Fries: I'll handle the sub number and Deidrich or Charlie or someone wants to talk about the OCF number. I wouldn't say it's the new normal. I would say it's getting back to normal and that doesn't happen overnight. A number of things in the first quarter for us, as we talked about on our first-quarter call, a number of markets were impacted by rate increases and price increases which we were deliberate about and very purposeful about towards the end of the year and the beginning of this year. It hasn't been difficult to re-energize the sub numbers there. And, I think, going forward, we still believe there's significant growth in Germany. Of course, every growth market at some point reaches a level of maturity where it doesn't grow as fast -- don't think we're quite there in Germany, but that's to be expected -- at which point you focus on other things like new builds and profitability. I think it's a typical quarter for us in Germany. I might just add, if you step back and look at the second quarter in its entirety and you add Holland, you take Holland out and you look at it compared to 12 months ago where we had flat growth in Holland, we're essentially right on last year's results. Last year we did about 235,000 net adds in the second quarter and Holland was flat. This year, if you just make Holland flat and take it out, we're 225,000 net adds for the Group. So we're pretty much on pace with where we were a year ago, absent, of course, the market that's giving us a little bit of trouble here and we can talk about that. But that's how I'd answer the sub-question. I don't know if anybody wants to chime in on the OCF number?
Charles Bracken: Just to say, I would expect operating leverage to return. In the short-term, though, we felt that there were some sort of investments we had to make in our customer service and workforce that really hit us this year. There was a slight reset up of the base and that was partly to support the price increases, but also to perhaps catch up on some underinvestment. But in going forward, I think you will start to see operating leverage return to Germany and certainly our [indiscernible] thinking, as Mike said, I think we see it as a good growth trajectory ahead of the,.
Operator: We'll take our next question from Tim Boddy with Goldman Sachs.
Tim Boddy: I wanted to ask about the Liberty 3.0 program which obviously led to the guidance upgrade over the medium term. I guess there's a number of things it would be better to understand. How do you get to the $1 billion of efficiencies or cost saving? I think I heard you say that roughly 50% or 60% of that would be reinvested into top line growth. Did I catch that right? And what sort of initiatives are you thinking about more specifically? And then when you say medium term, I imagine that means, I think you said, over the next three to four years, is that kind of 2016 through 2019, is that how we should think about it? And I've got a follow-up; thanks very much.
Mike Fries: I'm going to stick to the statement that I made in my remarks which is that we do believe when you layer in the revenue drivers and the efficiencies that we have identified and are working on right now, we do believe that by 2018 is the better time frame. We ought to be generating over that period OCF growth in the high-single-digit range. I'm not going to be any more specific than that in terms of the $1 billion here, the $1 billion there. That number actually could be looked at a bunch of different ways. That really is OCF, if you back up and look at it. What I meant to say by the 60% was that we will be reinvesting and investing incremental amounts in revenue and top line results, so this is not just an efficiency cost-cutting exercise. If you look at the incremental growth we will generate in our EBITDA between now and the end of that time period I just gave you, we think most of that comes from revenue, not just from cost cutting. So it's not a cost-cutting exercise. It's truly a bit of a reinvention, if you will, of our cost structure but also an acceleration of our revenue growth drivers. So that's the way to look at it more simply. We think we're going to go from mid-single digits to high single digits. We think it's doable. We think it comes from both revenue -- mostly from revenue growth, from things like B2B, mobile, new build, managing our broadband market share, things of that nature. But it will also come from some efficiencies that we think are easily identified or have been identified and easily achieved in areas like procurement and supply chain, labor. I mean, there's a number of things we can do to better manage our central costs, better manage our country costs. I'm not going to be any more specific than that. As time goes by, we'll layer those in for you. But suffice it to say we have hundreds of line items that we're focused on. It's not a finger-in-the-air, where-should-we-go kind of approach. It's very specific. Every initiative has leaders. Every initiative has goals and objectives. We think it's the right way to approach something like this.
Tim Boddy: And then in terms of the CapEx required to deliver this, I mean, is this a near term free cash cut or pressure like Lightning or is this some of those efficiencies then fund more CapEx?
Mike Fries: I think the only thing -- anyone can jump in here, if they want to. I think the only thing that's potentially going to impact our CapEx materially between now and then is a new-build program. And I will tell you that the -- our Liberty 3.0 expectations do contemplate some new build, but I will also tell you that we have not layered in things like Project Lightning yet. So when we talk about millions and millions of homes that are available for new build or upgrade or extension and we think there are, most of those have not been layered in yet. We continue to find those. That will be incremental and perhaps even more beneficial to what we're projecting. That, in my opinion, is the only thing that you will -- we will point out to you as being potentially -- impacting the CapEx line, but as with Project Lightning, that will come with it -- sorry, there will be with those expenditures material improvements in cash flow. So we don't anticipate any product efforts. There will be some negative synergies, as there always are to projects like this, when you undergo significant change in your operating model or significant change in how you approach your business spend, things of that nature. So there will be some negative efficiencies, but not many. And I think that mostly we're going to look at growth in free cash flow from this exercise.
Charles Bracken: I would just echo what Mike said. This is Charlie. Remember in Project Lightning with our better financing strategy, the free cash flow impact is not in -- is delayed because of the working capital aspect. So ex new build, you should see the continuing decline trend in CapEx for sales, but the size of the new build, depending on how we decide to play that, will be the variable. It won't be a free cash flow here until at least in the early years.
Operator: We'll take our next question from Amy Yong with Macquarie.
Amy Yong: I have two questions, one for Liberty, one for LiLAC. First on Liberty, can you just walk us through your decision to increase your stake in ITV? What was the rationale behind that and is it still sort of seen as a hedge against retrans in that area? My second question on LiLAC is it looks like triple play penetration actually declined from 1Q. Given the push for an MVNO in Chile, can you help us think through sort of the trajectory of that and if you can manage through some of the headwinds in Puerto Rico? Thank you.
Mike Fries: Sure. On ITV, we tried to be clear, we may not have succeeded, in the press release. We didn't say much, but we were trying to be clear that this was, for the most part, an opportunistic and financial-driven transaction where we were offered the opportunity to essentially increase our stake at zero cost and, in fact, take money off the table, if you will. So I think the punch line there was it was seemed like a simple move, one that we could finance with the profits of our existing stake and locked in our upside and downside on a larger stake without putting additional up, in fact, taking money off the table. With the things we're doing in content and the investments we're making, we're looking to fund those, if you will, effectively and efficiently. I think the ITV investment is a case study for that where we have you now no money in this interest. And believe that very little, in fact, that we're in a great position to watch how the UK market evolves. As we said in our press release, we do not have any intentions of doing anything further and our view of that asset remains positive. And it's our largest market and we think it's smart to -- if you want to use the word hedge, you can do that, although we're not too concerned about retrans at this point. In terms of the three-play penetration, I can introduce [indiscernible] who I call Sergio, because that's his middle name, who is President and CEO of Latin America or LiLAC. And he can speak to the three-play penetration numbers in Chile and elsewhere. I will say that the situation in Puerto Rico is one where we have encountered this sort of growth environment for quite some time and we still are able to grow right through that cycle. We also have been fortunate in Puerto Rico to have one and now a second acquisition to drive synergies in that market. So we continue to feel pretty positive about it, despite the obvious macro challenges and the debt situation there. But customers still want their television and their broadband. You want to add anything to that, Netsela?
Netsela Kanextine: Just one point related to the triple-play downgrade. It's mainly related to the integration of Choice. Choice is a network that was mainly 1P, focusing on broadband. And that we see as an opportunity for the coming months following the integration to increase our 2P and 3P penetration for that segment as well. That's the main impact on the reduction from 3P percentage.
Operator: We'll take our next question from [indiscernible] with Morgan Stanley.
Unidentified Analyst: Thanks, good morning. So two questions. The first is on -- both are on LiLAC. Your guidance calls for deceleration in the second half. Given you just accelerated in Q2, I was wondering if this is just conservatism on your part or if there's something in the second half that we should be mindful of? And then secondly, in terms of the M&A opportunities in LatAm, are these -- has something changed? Were these opportunities always there but you weren't pursuing them because you were more focused in Europe or are there new opportunities that you've identified? And I guess related to that, how do you think about the current macro and political environment in terms of affecting your appetite for transactions in the region? Thank you.
Mike Fries: I'll take the second one and then Charlie or [indiscernible] you can take the first one. It's a good question. What's changed? Part of it is what you just mentioned which is that we have been extremely focused, in the last five years in particular, but even going back seven or eight years, on building scale in Europe which involved exiting Australia, exiting Japan, investing in Switzerland, Germany and Ireland and, of course, the UK and Holland. So we have been very focused and that focus takes capital, takes Management time, takes a lot of bandwidth. From that point of view, yes, we do feel that we sit here today at a point where we perhaps have a little more capital bandwidth and time to look at that part of the world. Secondly, we were always concerned, as I think you would want us to be concerned, with presenting a clear and simple story for shareholders. And without a tracking stock, we were unable to, I think, explain to shareholders a clear approach to value creation in two different parts of the world. So now we've done that. So we believe the Liberty Global Group or Europe will continue to have in its future terrific opportunity, 3.0, things of that nature. And we have a separate stock and a separate capital structure for LiLAC where we have unleashed, if you will, the opportunity to build and create value in that part of the world without impacting the core operations. Have the opportunities changed? Yes, to some extent they have. There are several regions in Latin America and the Caribbean that have experienced in the last 24 to 36 moths some consolidation activity, some growth and we do think that there is -- you can expect that there will be some considerable consolidation in parts of that region. And we think we can be part of it and should be part of it. Secondly, the assets that we have now are performing extremely well, have performed well and Puerto Rico is a consolidated market. We think we've got a Management team and sort of the best operating assets in the region to use as fuel for further growth in that marketplace. The macro and political environment, it just depends on what year you ask that question. Clearly, after 10 years of great growth if the region, they're facing some headwinds. It's really something that, in the markets we're focused on, we think is overcomeable. Chile, of course, dealing with the copper price which is 60 of their exports and Puerto Rico, with their own financial issues. It's not the first time we've had those kind of headwinds, but we have been consistently able to grow right through them. And I would say on average, though, the region is more stable. The region is more predictable. The region is more mature economically and politically and consumers are dying for broadband. And we're in a position to do that, both with the assets we have and the ones we might acquire. And with roughly 25%, 30% broadband penetration, it has huge potential, we think, for what we do and what we do well. So that's a lot of broad-based commentary which I think you can draw conclusions from. As we head on down the road, we'll be more specific about the things we're looking at. We do think we can create scale. We think we can make this a relatively large and very, very profitable platform pretty quickly if we do what we do well. Who wants to answer the first question, the second half?
Charles Bracken: Yes, regarding the first question, there are two key elements that would impact our second half and will bring us back to our confirmed mid-single-digit growth. One is the one-off that -- positive one-off that was in VTR in the Q4 last year that will be -- unfortunately impact our comparison to this year. And the cost of the Choice integration will heat us on the second half that will create the opportunity for the full integration reflected in next-year results.
Operator: We'll take our next question from Jeff Wlodarczak with Pivotal Research Group.
Jeff Wlodarczak: I wanted to follow up on the former Ziggo territory. How quickly should we pass the Ziggo footprint conversion issues and expect to return to more normalized results in the RGU front? And then if you can give us an update in general on the competitive environment in Netherlands? Is there any sign of rationality out of KPN? I've got a follow-up.
Mike Fries: I made the point in my remarks and I'll repeat it here. We're not pleased with what we've been experiencing in Holland. It was sort of a perfect storm on some level which some of it was avoidable and some of it wasn't. The network integration and harmonization challenges, the customer quality and customer satisfaction issues, are things that we should have managed through better or anticipated better. We just had the entire Board in Amsterdam last week for our annual Board meeting retreat where we go to one of our markets for a week. And, rightly, we chose Holland and we spent a week there. So I think the Board now in particular, but we all spent considerable time working through what's happened and where we're headed. And when you add to the issues around our own operational challenges there, we, of course, continue to have a competitive marketplace, as you say. In KPN, are they irrational or are they rational? I think they are -- in their minds, they're being rational. They think they're doing the right thing, building market share, focused principally on market share and not on financials under the assumption that, I don't know, maybe they're going to be sold. Maybe that's the right way for them. Maybe that's how they're compensated. I don't know. It is, in fact, a singular strategy. And when you look at a business that continues to have negative results, on the financial side you scratch your head. Having said that, they're good at what they do. The Dutch consumers are demanding and we have to do better. We will do better. The Management team has now got their arms wrapped around the issues. The marketplace has settled down. We're responding appropriately. Network is stable. Channels are stable. Consumer volumes, call volumes, truckloads have already dropped considerably. We're getting back to a more normal posture. If you look back quarter to quarter to quarter, this has always been a market where we're trading blows like a boxing match. For the last three quarters, we've been getting punched and three quarters before that we were punching them. So it's a competitive marketplace, but it's one where we think the synergies, the mobile opportunity we have, the strong brand we have, stabilizing the things that we know how to do well in this business, customer quality, network quality, customer satisfaction and then driving product innovation the way we've been able to do it in other markets, we think those things will all come together in the second half of the year. So we're encouraged. We think we can get it back to the more normalized sort of results and this has been an inflection point. I think we've passed the inflection point, I guess is the right answer to your question, Jeff.
Jeff Wlodarczak: You all have been more aggressive this year than in the past around taking price and being less promotional, particularly in Germany. Can you talk about now that we've kind of passed these, how successful the price hikes were overall and your ability to hold those price increases?
Mike Fries: Well, listen success is a relative term. Certainly, the price increases across the board will generally have some consumer reaction and we did experience that in several markets. Having said that, we have bedded down a higher price value relationship for our products which are premium products. And we know, if we have to promote those for a period, as we always do to drive volume, that's fine. But we have established kind of a new normal for what these products are worth. And we're not going to look back on that and change our view. We think it's always going to be something we want to achieve which is pricing power and price increases where possible. We're happy that we did them. We did experience some consumer reaction in some markets. We think we've rebounded from that in the second quarter. We think we should continue to do that in the third and fourth quarter. But it's important for us to establish a price-value relationship that is reflective of the amount of time and money and effort and the quality of our product innovation. So this is a long-term game. That's a nice thing to remember about us. We're in this for the long haul. We're not in this quarter to quarter. We're in this year to year to year. With things like Liberty 3.0, when we look at a three-and-a-half, four-year time frame, we're looking at how do we get to that place? And getting to that place requires taking steps every year, every half, every quarter, that build and layer on top of each other and get us to where we need to be. So we're not concerned about one quarter or another quarter. We certainly want to be doing well in a quarter, but we want you also to look at our business the way we look at our business which is over the medium term, if not the long term in how we create value for shareholders. And we've done a pretty good job of that in the last five years at 35%-plus growth. And we know we can do that in the next four to five years, doing very much the same things but hitting the accelerator both on revenue and hitting the accelerator on efficiencies.
Operator: We'll take our next question from Ben Swinburne with Morgan Stanley.
Ben Swinburne: I have two questions. I think Tom's on the call. I was curious if you guys can comment on the state of the UK market as it moves more quad play, particularly the moves around some of the integrations you expect from SKY and BT and some of the aggressive offers in the marketplace. Do you guys think you can navigate that and drive higher top line at Virgin as you look out over the medium term, despite all these moves in chess pieces?
Unidentified Company Representative: Tom speaking. Good afternoon, good morning. The answer is certainly yes. The market remains a good market. It is a highly digitized economy, GDP is growing and fundamentally rational telecoms. You might have seen in the last week BT announced a significant price rise including [indiscernible] and SKY did a similar thing not too long before that. Of course, we have had a practice of taking price rises quite across the board in the early part of each year and I can anticipate that will happen again in the early part of next year as well as us taking a price rise at this very moment to cover the increased footfall costs. Even though you do see discounting at the margins around acquisition, it's a market that has got used to taking price rises and certainly allowed us to take our pull-up and we continue to see ARPU increasing. In terms of the wider picture, we're very focused on maintaining our growth profile which is around both the core business, the synergies and the efficiencies we're generating, but around growth, both organic subscribers, ARPU and around Lightning and we see the opportunity to do that. We're working very hard to ensure we continue to have a successful MVNO. We have a working MVNA today with VE and we want to continue to have a strong MVNO in the marketplace. We're working on that very conscientiously at the moment.
Mike Fries: I might just add, this is somewhat gratuitous. I was looking at some quarterly results the other day. The UK has averaged quarterly OCF growth for us of 7.5% over the last six quarters. This market continues to generate -- part of that's efficiencies, of course. Part of that is also continued growth in revenue, growth in revenue drivers. I guarantee, that's better than we budgeted when we bought the business. Nobody in six quarters, six straight quarters of an average 7.5 EBITDA growth of OCF growth with a market this big, this large, this, quote, unquote, mature in the views of many investors, is pretty good. And we don't see that being altered materially, especially with 3.0. That's the bottom line for us.
Ben Swinburne: Mike, just sticking on the long-range plan, one of the things everyone's liked about your business versus U.S. cable is you don't have this programming cost escalation issue that's been a problem over here. I just got off the discovery call and David's talking about using the Olympics to drive affiliate revenues and moving more sports content onto cable. I'm just wondering, when you look at your programming cost growth which I know is much more than just sports, do you think you can continue to keep a lid on growth, given the structure of these markets? Or do you think this sort of clamoring around retrans and movement of costs to cable from broadcast starts to catch up to the market? What are you planning in your long-range plan?
Mike Fries: If you look at the way we spend money today and you had a pie chart in front of you with how our program expenditures which are north of $2 billion, are being allocated today, the first point to make is that the manner in which they'll be allocated in four to five years' time or if you were to reproduce that pie chart in four to five years' time, there will be some differences. And firstly, the amount of money we're spending on linear channel carriage which is traditional cable channels, et cetera, no question, will decline. And the amount of money -- the percentage of money we spend on online rights, digital rights, OnDemand rights, SVOD rights, will increase and there might be a little bit of retrans, more retrans in there. But retrans is not material for us. It's not material, given the size of our business. It's not material on a cost-per-sub basis. It's not material market to market. It doesn't mean it won't grow. It might grow. The pie itself will increase. We will clearly have a bigger pie, both as revenue grows and because we think we're a bit underinvested in content. Convening that, in addition to changing the breakdown of that pie, we have to grow that pie probably -- I'm not going to give you a number, but pretty materially, because it's important for us to stay competitive and be aligned with our customer needs. But not to the point where our margins will be materially impacted and not to the point where we can't achieve the kind of OCF growth that we've just articulated. So materials is the wrong term when I talk about the growth. Yes, it's going to increase and it should increase, because we're underinvested in content when you look at what's happening around us in Europe and certainly what's happening elsewhere. We think the margins are sustainable to a large degree and things like the Olympics, we think the deal Discovery did for the Olympics is a great deal, smart for them. We will try to participate in creative ways of offering those Olympic sporting events, either through broadband or through premium services or other ways of -- smart ways of getting those to customers. And I think, if there is pressure on one or another channel, because of its quality of content, we will relieve pressure elsewhere. So we're dynamically managing this business to margin and dynamically managing the customer experience. And you will not see -- you will never see a situation, as you have here in the states, where there's such a big bundle, everybody's focused on a skinny bundle. The bundle is already skinny from the point of view of content costs and we don't have much to do there.
Operator: We'll take our final question from Vijay Jayant with Evercore ISI.
Vijay Jayant: Two question. Mike, with 200,000 subs for the first half, there's a lot of wood to chop in the back half. Can you sort of talk about the promotional activity across the markets and what markets and what products are really going to get you to that million subs? And second, more sort of a philosophical-type question, if you sort of -- you talked about your rate increases and arguably there's still some pricing power that still needs to be proven out in larger markets. But if you look at the U.S. cable companies, they drive more of the top line from pricing rather than unit growth. And I think Liberty Global's still heavily dependent on unit growth relative to price. Can you start of talk about the trends on that and the inflection on that and how soon can we start seeing Liberty Global look more like U.S., because obviously it has positive ramifications on CapEx. Thanks.
Mike Fries: Sure. Well, it would take us too long to go market to market and talk about the promotional activities. Might have Diederik chime in a little bit. It doesn't take a lot to turn the engine up on volume. Because we have established higher price points, the promotions are less negatively impacted and -- from a higher number, but we do think we're, in some cases, as we always do various times of the year, we're promoting our products and we're doing that in, we think, smart ways. So it would take too long to go market to market. Happy to do it offline. Certainly we're trying to, in some markets where it makes sense, turn up the volume a little bit and that often can involve promotions, but that's typical for our business. And they can be short-term or they can have an impact that varies product by product, market by market. Too many variables there to give you any more than a general reaction. In terms of price volume, that's a question we try to answer all the time and are answering all the time internally. We would like to be certainly more of a price driver versus a volume driver when it comes to the growth that we project and the growth that we're experiencing. There's a lot of variables there that we can't control, What competitors do, how consumers are being treated, the quality of their experiences. But in principal, I think it's inevitable that we will become more like the U.S. and, quite frankly, more like the UK, where look at the volumes we do at Virgin Media. They're not huge volumes. We do great volume. But we don't do huge volume there. But we're able to take smart price increases and drive product innovation in a way that consumers are happy. And that is a place that we ought to be able to reach in most of our markets, depending on the competitive environment, things of that nature. We're focused on that. The nice thing though is that we have great gross margins. We have a lot of efficiencies we can drive into the OCF margin and we're fortunate to have, even with less ARPU, higher profitability in our core business. So it gives you much more flexibility in terms of how you drive value going forward. And we don't have this massive weight, anchor around our necks which is $30, $40 a month of programming costs. So I think we have more tools and more opportunity and the diversity of our markets presents us with, I think, a greater chance of continuing the price volume gain in a smart way that preserves margin, firstly, but drives the top-line growth which is everything.
Mike Fries: You got it. All right, folks, thanks so much for joining us. I hope everyone's going to enjoy the rest of August, whatever you're doing and have a great rest of the summer. We're busy, busy and we'll stay busy and try to continue to grow the business here and work for you. So we look forward to talking to you in the third quarter and speak to you soon. Thanks so much.
Operator: Ladies and gentlemen, this concludes Liberty Global's second- quarter 2015 results investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global's website at www.libertyglobal.com. There you can also find a copy of today's presentation materials.